Executives: David Gennarelli Carl Bass - Chief Executive Officer, President and Director Mark J. Hawkins - Chief Financial Officer, Principal Accounting Officer and Executive Vice President
Analysts: Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division Jay Vleeschhouwer - Griffin Securities, Inc., Research Division Heather Bellini - Goldman Sachs Group Inc., Research Division Brendan Barnicle - Pacific Crest Securities, Inc., Research Division Philip Winslow - Crédit Suisse AG, Research Division Matthew Hedberg - RBC Capital Markets, LLC, Research Division Gregg S. Moskowitz - Cowen and Company, LLC, Research Division Walter H. Pritchard - Citigroup Inc, Research Division Keith Weiss - Morgan Stanley, Research Division Richard H. Davis - Canaccord Genuity, Research Division Sterling P. Auty - JP Morgan Chase & Co, Research Division Ross MacMillan - Jefferies LLC, Research Division Brent Thill - UBS Investment Bank, Research Division Steven R. Koenig - Wedbush Securities Inc., Research Division
Operator: Good morning. I will be your conference operator for today. At this time, I would like to welcome everyone to the Second Quarter 2014 Autodesk Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Dave Gennarelli, Director, Investor Relations. Please go ahead, sir.
David Gennarelli: Thanks, operator. Good afternoon. Thank you for joining our conference call to discuss the results of our second quarter. Joining me today are Carl Bass, our Chief Executive Officer; and Mark Hawkins, our Chief Financial Officer. Today's conference call is being broadcast live via webcast. In addition, a replay of the call will be available at autodesk.com/investors. As noted in our press release, we have published our prepared remarks on our website in advance of this call. Those remarks are intended to serve in place of extended formal comments and we will not repeat them on this call. During the course of this conference call, we will make forward-looking statements regarding future events and the anticipated future performance of the company, such as our guidance for the third quarter, long-term financial model guidance, the factors we use to estimate our guidance, new business model introductions, new product and suite releases, market adoption and expected growth rates, cost management efforts, hiring plans, business execution, business prospect and financial results, our market opportunities and strategies, including our plan to roll out rental license offerings, our transition to cloud and mobile computing, our educational vertical strategy, trends in sales initiatives for our products and trends in various geographies and industries. We caution you that such statements reflect our best judgment based on factors currently known to us and that actual events or results could differ materially. Please refer to the documents we file from time to time with the SEC. Specifically, our Form 10-K for fiscal year 2013, from 10-Q for the period ended April 30, 2013, and our current reports on Form 8-K, including the Form 8-K filed with today's press release and prepared remarks. Those documents contain and identify important risks and other factors that may cause our actual results to differ from those contained in the forward-looking statements. Forward-looking statements made during the call are being made as of today. If this call is replayed or viewed after today, the information presented during the call may not contain current or accurate information. Autodesk disclaims any obligation to update or revise any forward-looking statements. We will provide guidance on today's call but will not provide any further guidance or updates on our performance during the call -- quarter unless we do so in a public forum. During the call, we will also discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of our GAAP and non-GAAP results is provided in today's press release, prepared remarks and on the Investor Relations section of our website. We will quote a number of numeric or growth changes as we discuss our financial performance, and unless otherwise noted, each such reference represents a year-on-year comparison. And now, I'd like to turn the call over to Carl.
Carl Bass: Thanks, Dave, and good afternoon, everyone. I'll start today's call with a discussion of our second quarter performance. Later, I'll talk about the exciting changes that are underway at Autodesk and how we believe our business model will evolve more quickly than some have anticipated. Looking at the second quarter, total revenue came in above the middle of our range, with a backdrop of some challenges in our end markets. Similar to what other enterprise software and PLM companies have reported recently, we experienced a mixed demand environment despite more positive macroeconomic data that would suggest a stronger market. On the positive side, our AEC business segment performed well, with strong growth in the Americas and APAC. Our suites continue to have strong performance, and Japan experienced strong growth on a constant currency basis. Conversely, variances in some of our end markets influenced our run rate products like AutoCAD and AutoCAD LT this quarter. On the product side, we continue to see steady customer adoption of our cloud and mobile solutions during the quarter. Our performance in EMEA remains mixed by country. While APAC revenue was down as reported, it posted decent growth on a constant currency basis led by strong growth in Japan and solid growth in China. Within the Americas, we experienced modest growth. Growth in emerging countries remains challenging. While recent economic forecasts indicate that growth in emerging countries may lag developed economies, it continues to be a focus area for improvement and future growth. At the start of the fiscal year, we made a strategic decision to begin shifting our education business from selling to granting our software licenses in select regions and to key partners. This is an investment in the future for Autodesk. It will also benefit the industries we serve by having a greater number of design and engineering graduates fluent in Autodesk tools. Today, tens of millions of students and educators are using our products. The net impact of the change in our education strategy is a drag of approximately 2 percentage points of revenue growth for the quarter, primarily coming out of the Americas, and we anticipate the -- about the same impact for our full year results. This impact was contemplated in our previous guidance. Consistent with the past few quarters, our AEC segment delivered solid results. The green shoots of building and construction activity that we started to see a few quarters ago continue to grow. Aiding more growth in AEC is our leadership in BIM. We continue to add to our extensive portfolio of BIM solutions in both our AEC suites and BIM 360, our cloud offering. Within our Manufacturing segment, we saw solid growth in suites. Last quarter, I mentioned the success we were having in the automotive industry. That success has continued in the second quarter as we knot significant wins with global manufacturers as well as key suppliers. We're seeing expanded adoption of our design, engineering, visualization and simulation products throughout the automotive industry. Our arsenal of solutions for manufacturer is growing stronger as earlier [ph] this month, we added 2 new products to our simulation portfolio, one for composite design, one for composite analysis. The addition to these new products helps us reach new markets and assist our customers in developing the next generation of lighter, stronger, safer and more energy-efficient products. In total, our suites continues to grow faster than our overall business as customers realize the value and power of our suites. Suites have grown to represent 34% of total revenue for the quarter, up from 23% just 3 years ago. Our AEC suites had a particularly strong quarter, and we're experiencing strong momentum of our AutoCAD design suites. Turning to our cloud products. Fusion 360 made its official debut in the quarter. Fusion 360 is the world's first cloud-based software that combines industrial and mechanical design. Though it enables people to fuse stunning aesthetic design with great product engineering, it brings together capabilities typically found in separate mechanical, industrial and conceptual design tools into one easy-to-use cloud-based service. It has had hugely enthusiastic reception by customers and industry watchers, and we're very excited about its future. More and more, engineers, architects and designers took advantage of our cloud-based services during the quarter. POM 360 continues to gain customers. A common occurrence is that customers come back to us shortly after the initial sale and order more seats, which is a great sign. PLM 360 is going head-to-head with traditional PLM players and customers are selecting PLM 360 because it's not only solving their core PLM business issues but because it's cloud-based, it's easy to use and it's more flexible and scalable. We continue to see growth across all areas of the PLM business and the pipeline continues to grow. Just yesterday, we introduced the newest addition to our BIM portfolio with Autodesk Point Layout for layout at construction sites. This product underscores our efforts to transform the construction industry using BIM from the earliest stages of design all the way through project delivery and building operations. Many of you have shown a great deal of interest in our consumer business and how things are going there. Though only a few years old, we've made incredible progress to date. We finished the quarter with more than 136 million users and have surpassed 50 million monthly active users. These 50 million users have used our consumer products more than 220 million times in the last 30 days. The sheer size and uniqueness of our creative platform is attracting brands from around the world to partner with us. While with challenges in some of our end markets have led us to lower our third quarter revenue forecasts, we're taking action to rekindle growth. At the same time, the investments we made in new products or cloud platform and new businesses such as simulation are seeds of future growth. Now let's get into our business model evolution. It's clear that the software industry is changing in terms of the technology platform and the business model. Several years ago we made the decision to lead this change by delivering cloud-based distributed applications and services to the design and engineering market. We've also worked hard to provide our customers with more flexible licensing models. I'm very pleased with what we've accomplished. Our cloud offerings are unmatched in the marketplace, and customer acceptance and feedback has been enthusiastic. I mentioned last quarter that we would start rolling out more turn-based flexible license offerings to our customers. During the second quarter, we offered some of our products on a rental basis. With the introduction of these flexible plans, our customers now have access to high-quality solutions from Autodesk that may have been out of reach in the past due to upfront licensing costs. The project-based nature of freelance work also means the software may only be needed temporarily for short-term staffing needs, and rental license offerings provide flexibility to pay only when it's needed. This foray of flexible license options is just the beginning. Later this year, you can expect to see more flexible offerings from us. These offerings will be designed to give our customers even more flexibility with how they utilize our products and will provide the company with new ways to address new market opportunities. The addition of these ratable revenue streams and other business decisions will significantly increase the percentage of our ratable revenue, making for a more predictable business over time. We now believe this model transition will happen faster than previously expected. We're currently working through our plans for this business model's transition. At our investor day event on October 2, we will be better able to provide you with more details around our assumptions for the magnitude and timeline for changes related to this model transition. In our 30-plus year history, this is not our first business model transition. We called that just 10 years ago, we added subscription maintenance to our revenue stream. That was a big change at the time, and there was no shortage of skeptics. Today, that's $1 billion business and represents over 40% of our revenue. Suffice it is to say that transition was a huge success. Going forward, we will build on that success. Our customer base, portfolio of design and creation tools in our cloud and mobile offerings is unmatched. We're excited to move forward on this business model transition and give our customers even more flexibility with how they utilize our products. I want to thank our employees and partners who have created this opportunity and are driving these important changes in the industry. Operator, we'd now like to open the call up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Steve Ashley with Robert W Baird.
Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division: I guess I'd just like to go back to the business model transition. You called it out obviously here in your remarks, but also called it out in the press release. And you've been talking about changes relative to more flexible licensing. But is it also possible that part of the business model transition could include changes to the cost structure or other operational aspects to the business?
Carl Bass: Steve, the way I'd think about it is mostly in terms of the customer-facing choices, what the offerings are and how they're delivered. As a more marginal part of that, certainly, each one of those involves a difference in margin structure. For the most part, it hasn't been particularly material, and I don't see that as being either the driving force behind it or a big byproduct. The more important things that I think you really should look at is the offerings for customers and how we change them, as well as, as we talked about, the accounting impacts in terms of ratable revenue.
Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division: Perfect. And then your education business, the third quarter is the biggest seasonal quarter. You called out that the impact in this recent quarter was 2%, but in the full year will be 2%. But in that peak seasonal quarter, the next quarter, how much might the absence of educational revenue be impacting that period?
Carl Bass: I put it in line with the others. It's, again, marginally higher but not enough to matter. When you look at the buying patterns around the world, it kind of washes out. And so I would think it is 2%.
Operator: Your next question comes from the line of Jay Vleeschhouwer with Griffin Securities.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: Carl, on the model change, you mentioned that it was going to occur faster than some people on the outside of the company had anticipated, but is it happening faster than you might have thought, even just a few months ago? Over the course of the summer, the company suggested that this was indeed one of the bigger or biggest things that you need to figure out. But what changed in your thinking in terms of market conditions or anything else that perhaps induced a somewhat faster change? And related to that, you have a pretty complex product line, over 20 suites, for example. Some are more complicated than Adobe's when they began to make their change. So how do you think about the metrics or pricing criteria in terms of handling a fairly complex product line in terms of moving it towards more flexible terms in licensing?
Carl Bass: Yes. Thank you, Jay. By the way, I just have to say one thing. I'm so glad I have a name that's easier to pronounce than yours. That's a little bit of getting mangled every time. So here's what -- and it must have been much harder to fill out in those standardized tests. Here's what I -- here's what we've been thinking about this, is we -- as you know, we've talked about this for a while, and we started looking at some of the rental opportunities. We see those as being important to actually capture parts of the market that currently aren't paying us for the use of this software, people in peak demand situations, freelance work. So we got really interested in that. Then we started looking at our enterprise customers, and we've talked about some of the things with more flexible licensing for our enterprise customers, in which there are, in essence, true-ups at the end of the year based on usage as opposed to negotiations upfront. And we saw an opportunity, and we described at least 1 or 2 of these in detail, how we both increased the amount of money the customers pay and increased their satisfaction with the use of those products, a real win-win. And then we looked at the middle part of our market, the place where we sell suites and subscriptions, the mainstream part of our business through the majority of our channel partners. And we saw opportunities to deliver things more easily, more flexibly. And all those contributed to say we saw a way to move the business more quickly. One of the things that happened to us along the way is recognizing the difficulty of both running, but forecasting and communicating a mixed model business. And we really began to appreciate that many of the dynamics about this financial model were going to be at odds with each other. And so for everything that we're well on one who's going to take away from the other, and it was going to be difficult internally to win that way just provide the right incentives and stuff, as well as communicate it externally so people understood what was going on with the business. The other thing that happened is we've been running these probes or science experiments, and the results of what we've done have been very positive. The next thing -- the next part, I would say, because you brought up Adobe, we're in, with respect to the complexity of the product portfolio, the other thing that we saw is Adobe introduced a business model transition without much of a technology transition, but really just changed the way that people pay for it and do it rather successfully. And it became more clear to us that the customers were willing to accept, and some even wanted this new opportunity. Because we're starting in a different place than Adobe, we don't feel the need to force people to agree to go to these new license models in perpetual licenses. And so we saw just a really good opportunity to a way that was economically beneficial for us and a benefit for the customers. As regards to the portfolio complexity, I mean, while we have 20 or so suites, if you look, it's really 7 categories by 3 offerings in each of these. The price points are very similar and have been -- because it's a relatively recent offering, they've been rationalized and harmonized over time. And we -- I think we were going to be able to introduce pricing that makes a lot of sense and we can deal with it consistently across those products. When we get to the first week in October, we get together, we'll detail a lot more of this for you. But we, obviously in order to go out with this kind of message, we've been thinking a lot about it and have done extensive planning. And we think it makes sense.
Jay Vleeschhouwer - Griffin Securities, Inc., Research Division: Okay. Just a quick follow-up. Is it too soon to start talking about how indirect and direct -- but particularly indirect, works through this transition in light of the comp changes you made 1.5 years ago on -- aside from the fact you get 85% of your revenue from the channel.
Carl Bass: Yes. I see our channel partners, both the value-added resellers and the volume resellers can play -- continuing to play an important role. It's gotten interesting since I referenced it in my remarks about the business model change we went through about 10 years ago. Just to remind everyone, not only were people skeptical, many people read that to be something of the death of the channel or us stealing business from the channel. I mean, there were lots of conspiracy theories running around at the time. I continue to see partners playing an important role as we go forward. We're not anticipating a big change in the mix between channels. And I think partners will continue to play the same role they did -- they have. Our business, while in many ways, similar to Adobe, I think when it comes to channel mix, has always been somewhat different, particularly if you look a little bit under the covers.
Operator: Your next question comes from the line of Heather Bellini with Goldman Sachs.
Heather Bellini - Goldman Sachs Group Inc., Research Division: Carl, just wanted to touch base with you on you've mentioned moving the subscription maybe faster than some other people thought. I'm just wondering, as you move to the cloud, is there anything you could share with us in terms of kind of entry years, what do you think the mix of the business might be, what percentage of revenue you could be getting from that? And then the second part of the question is I know you're going to give us more detail on how you plan to roll this out in early October, but is this something where we might see you do it product line by product line instead of doing that big forced shift like auto plus [ph] , like Adobe just did?
Carl Bass: Yes. So I'll reiterate, we will give you more details in October. But if you look out a handful of years, I can easily imagine the vast majority of our revenue coming from ratable revenue streams just to try to draw an envelope around all of them, the vast majority, it's easy to imagine, and we'll detail how that will happen. As for our product lines or some of the other ways that we might do it by geo, I think it's unlikely; the cost and complexity in doing this one by one is really probably too difficult for us. And like I said, both internally to manage and externally to communicate. I think not only it'll be very confusing, certainly for the financial community, but also for our customers. Many of our customers, particularly the largest ones, buy products across our product lines. And so I think we need to be more consistent for that for all kinds of reasons. The changes we're contemplating and the plans we have in place enable us to do this across the product line.
Heather Bellini - Goldman Sachs Group Inc., Research Division: Okay. And then I just have one follow-up, if you don't mind. In regards to your guidance and knowing that you have a headwind related to the educational transition you're making, can you walk us through kind of the end market, why you're seeing seasonality be maybe a little bit worse than what people were expecting at the environment? From what we're hearing from other people, it seems to have stabilized and isn't necessarily getting worse. I mean, you're actually getting improving data points, macro data points, in places like the U.S. and EMEA in particular for the first time in a while. I'm just wondering kind of how you contrast that with the seasonality that you're looking for.
Carl Bass: Yes, no, good question. I tried to refer to that in my remarks. I said we are certainly seeing the same macroeconomic data that is definitely pointing to an improvement in many parts of the world, particularly in the building industry worldwide. We started -- we hinted at that last quarter, we saw more of it this quarter and we're actually really pleased with what we're seeing. We've also seen and we're taking a little caution from those some of the peer companies, particularly the technology industry, as well as some of our customers who have been a little bit more modest in their forecasts going forward. When there's an appearance of at least portions, if not a large part of the technology industry, being laggards coming in this recovery. So we're being a little bit cautious right now. We also understand there is the education thing we talked about. Currency has been a little bit of a headwind. And we're also anticipating that we might have a slight -- a relatively modest, but still I won't quantify it at this point, kind of slowdown as a result of announcing business model changes. People may pause a little bit. So what we're doing overall, we're just being a little bit more cautious about what's out there. But like I said, there are lots of signs [ph] that we saw were [ph] improving. Still, we saw lots of stuff we like in the construction industry, individual markets like our PLM markets, simulation markets, I feel good about. Question mark that remains for us is more the emerging economies and our run rate business.
Mark J. Hawkins: And I would just say, Heather, to build on Carl's point, it's when the economic data starts to translate into good news in the marketplace, when we definitely have seen this lag and I know you've seen it as well. It's been pretty consistent.
Operator: Your next question comes from the line of Brendan Barnicle with Pacific Crest Securities.
Brendan Barnicle - Pacific Crest Securities, Inc., Research Division: Carl, I was wondering how the direct sales effort went this past quarter? I know last quarter, that was a disappointment. Did you see some improvement there, and any kind of change in deal sizes? I know that's typically where you see your larger deals.
Carl Bass: Yes, yes, we saw lots of improvement this quarter. I was very pleased with our major account. Q2 isn't a big major account thing, but compared to historicals, compared to the previous quarter, I actually felt very good about it. The 2 things that we saw and despite what others some on the phone have written about, what we saw this quarter was we saw generally good major account activity, good business through our value-added resellers and the softness was in isolated portions of the world and through some of the volume channels.
Mark J. Hawkins: I would also -- you'd asked for big deals in particular, Brendan. They are on a similar pace. We're not going to get into specifics, but it was on a similar pace to a year ago, slightly more.
Brendan Barnicle - Pacific Crest Securities, Inc., Research Division: Great, that's helpful. Mark, you've been consistently talking about this 30% margin goal. Should we put all that stuff on the side now that we're going to see these changes to the model going forward?
Mark J. Hawkins: This -- here's the way I would think about this, Brendan, is that we were -- we are committed to operate margin expansion. I think what's important for you to see is to have the full picture when we get together for the business model discussion, and in that context, that will provide helpful context. But the long-term notion of margin expansion, we're committed to.
Carl Bass: Yes, I would just reinforce Mark's point that from the point of view of profitability and a simplistic notion of revenue and costs, we're totally committed to increasing the profitability. As you look at some of the model changes, there really are accounting differences that will impact how we measure that. That's why we want to just try to provide the full context. As you imagine, if, for example, a particular revenue stream today is recognized upfront and moves to more ratable, it's going to affect the numbers but we will -- we believe and what we're asserting is it's better for the business. So you just have to get the complete context to get the numbers right. But our commitment to improving profitability has not changed.
Brendan Barnicle - Pacific Crest Securities, Inc., Research Division: And then lastly, Carl, we talked about Adobe earlier. And one of the things that helped them with this transition was they tested it for a couple of years over on Australia. Would you look at just doing their own? Is that like in a specific geography as a way to test it or would that really not make much difference for you guys given the diversity of the products?
Carl Bass: I think it's -- I think the testing is an interesting idea, but if you look at the Adobe case specifically, they tested Australia, and I think that's good for making sure the mechanics of your business function well. As you can tell, they obviously engage end user demand as well as they would've liked to because they had to put in a pretty radical policy change in wanting to drive more adoption. So I think these kind of limited geographical tests at limited value, most of the things we've talked about, we've tried in one way or another. Certainly, what we're talking about in the enterprise space, we have been piloting it. And when you look at some of the things that we're talking about in the more run rate parts of our business, we -- like the rentals, we're also gaining the experience. So I feel pretty confident about what we're going to do there.
Operator: Your next question comes from the line of Phil Winslow with Crédit Suisse.
Philip Winslow - Crédit Suisse AG, Research Division: Just a couple of questions. First, in terms of just your October quarter guidance, I mean, how much are you baking in for just some of those headwinds you talked about from actual business fundamentals versus any of the accelerated change in the business model? Then also, Carl, just back to the business fundamentals. If that's sort of the primary reason, which does sound like for the guide down, which of the areas are you sort of most enthusiastic about when you look into the second half and which are the ones that are creating some of the caution?
Carl Bass: Sure. What I would really answer, and Mark can provide some color, I mean like you pointed out, the education is still going to be a drag. I'm still worrying about FX. It looks like it's changing right now, but then we just have to see how that plays out. When I look at our markets, I feel very good about the AEC market. That just continues to get stronger and that's really fairly broad-based, the only exceptions there are a couple of weak geographies, Southern Europe and some of the emerging economies. But generally about our main businesses, I feel pretty good. I'd like to see an improvement in our run rate businesses in order to feel fully enthusiastic. At this point, I think we have a question mark rather than a big deficit being created by the uncertainty of the business model change. The way we're rolling this out is rather than being a forced migration, this will be a choice for our customers. And we'll give you more details in October about that.
Operator: Your next question comes from the line of Matt Hedberg with RBC Capital Markets.
Matthew Hedberg - RBC Capital Markets, LLC, Research Division: Suites continue to do very well. I believe, Carl, you mentioned they were 34% of revenue this quarter. Can you remind us again on the ASP uplift there and maybe how penetrated the actual installed base is?
Carl Bass: Good questions. I think that's a perfect one for Mark to answer.
Mark J. Hawkins: So the ASPs, I think we had talked about, Matt, before being on track for 20% uplift in the ASP in total. We've been tracking at or above that from an ASP standpoint for suites, so that's actually materialized. We're actually thrilled with the way suites have been going. The response from the customer has been very positive. So the ASP in particular, very much on track.
Carl Bass: Yes, the one other thing we saw that was a positive sign this time and I try to call out in the remarks is that the AutoCAD Design Suites, which we had said from the very beginning was the only part of the suite strategy that had been below our expectations, actually did relatively well. As I'm always willing to point out, one quarter doesn't make a trend. But where will we see -- we've seen some steady improvement in -- and I think it's sustainable, and I really like to see that because that really completes the picture around our suites.
Operator: Your next question comes from the line of Gregg Moskowitz with Cowen & Company.
Gregg S. Moskowitz - Cowen and Company, LLC, Research Division: Carl, just getting back to the AutoCAD Design Suite and the strength that you called out. If I'm not mistaken, the pricing for that recently came down by, I think about 20% to 25%. And I was just wondering if the elasticity of demand was such that you saw a meaningful net revenue increase versus the prior quarter and also if you're considering doing anything similar with regard to some of the pricing on the other suites as well.
Carl Bass: Yes. So one of the things I would just say in general, let me just frame this question just in terms of pricing in elasticity. The place where we see the greatest elasticity is in our products that are AutoCAD LT or verticals that are built on AutoCAD. The least is with the other suites. So I don't imagine anything different. You may see one-off promotions or regional promotions, but our ASPs on suites have been holding pretty steady. I imagine that continuing through the end of the year. The place where we always get the biggest response to this kind of stimulus is in things related to AutoCAD and AutoCAD LT, including those AutoCAD Design Suites. So I think you'll see us continue to turn the knobs and dials there. But I think the rest with pricing for the rest of the portfolio will remain notably stable.
Operator: Your next question comes from the line of Walter Pritchard with Citi.
Walter H. Pritchard - Citigroup Inc, Research Division: Not to beat this transition horse dead here, but we did want to try to get to the bottom of this because you do have about 70% of your customers, by our estimate, I think the last time you disclosed, it's about 55%, which was 18 months ago on an annuity buying program already, which is effectively lower ongoing cost, sort of, an annuity type almost rental model. And I'm wondering, are we talking about the other 30% here and trying to move them to a new model? Or are we talking about taking that base that's already transitioned to, with you as you've alluded to over 10 years of moving them to a new economic model?
Carl Bass: Go ahead, Mark.
Mark J. Hawkins: Okay, so I think from a -- Walter, certainly, you got a lot of the math right. If you think about our subscription business today, we have 40% roughly, of our revenue comes in on a ratable basis already. I think as Carl talked about, some of the things that we've announced and are already in the marketplace will increase that ratability. We've talked about that percent going up over time. You can imagine rentals, and in fact, we're acquiring new customers. That, in fact, adding to that percent of recurring revenue. You can imagine us covering new platforms with the cloud, and that's all additive and that's going to be ratable revenue so you can imagine that going up. And then there's other decisions and stuff that we're not going to get into today, but we really look forward to having a discussion with you on October 2 about other things that we're going to do that are going to continue to step up. Carl talked about the enterprise where we have some ways to make our customers even happier and flexibility and to enhance our competitive position with great products, to be even more flexible with them but also to be able to generate more money. And so stay tuned. These are some of the things that are, altogether, going to add to ratability and then other decisions that we'll talk about later. Carl?
Carl Bass: No, I think that covers it.
Walter H. Pritchard - Citigroup Inc, Research Division: All right. And then just maybe one follow-up for you, one related question here on the macro side. I mean you have -- I guess we've seen -- we've become accustomed to when the macro is reasonably healthy, Autodesk was showing high single-digit, maybe low double-digit growth. And when the macro was tough, you would see 20%, 30% declines. And we just haven't seen the period before where the company has been sort of flat. It's either been pretty good or tough. And I'm wondering, it does seem like the macro is better, it does seem like you're positioning the markets or at least reasonably good. And the question we're getting from clients is just why the disconnect between what appears to be an improving macro over where things were a year ago and still the flattish to even down revenue that you're reporting?
Carl Bass: Yes, think that's a great question. What I'd say right now is give us a quarter or 2 and we'll have better answers about what's going on. I think like I said, for a while, it had been different. Last year, we talked about some things that internally created problems. Up until last quarter, we really haven't seen the improving macro turn into more business in our largest segment, which is AEC. Manufacturing was kind of a hold and serve. For the first time, we're really starting to see that. Many of the metrics we track internally in our AEC industry for the first time started to hit double digits again. Let's wait 90 more days and we'll have the conversation about it.
Operator: Your next question comes from the line of Keith Weiss with Morgan Stanley.
Keith Weiss - Morgan Stanley, Research Division: I'm going to fully beat this dead horse here. Just to be clear, in not having a full year guide anymore, is that in relation to the business model changes, or is [ph] that just basically we've got to wait until October 2 to hear what is going to be going on and because there's going to be impact from that business model change on FY '14?
Carl Bass: Yes.
Keith Weiss - Morgan Stanley, Research Division: Got it.
Carl Bass: What I can say here is that the answer is yes.
Keith Weiss - Morgan Stanley, Research Division: That works. I like definitive answers. And then in terms of in the current quarter, the one number that ticked down pretty significantly was this deferred revenue balance. You called out in the prepared remarks some of it due to long-term contracts. You also saw the short-term deferred revenue line down sequentially which is a little bit surprising, given more stuff that's going ratable. Can you help walk us through kind of what's going on there and how we should think about the deferred revenue billings metrics?
Mark J. Hawkins: Keith, glad to do so. First of all, as I think everyone knows, the deferred revenue, what's interesting about it is it's a little imbalanced. So it's a little different than a lot of indicators, it's a growing balance sheet going forward. It's actually up year-on-year, 7%. But it is down as exactly as you described, it's down 5% quarter-on-quarter. Now there's really, I would say, 2 things that are going on. If you dissect the deferred revenue, there's subs related to subscription and then there's licenses. And the license and other portion of it is exactly identical in terms of the sequential pattern that we had last year. The difference that's caused a little bit of downtick quarter-on-quarter has to do with subs, and there's one single reason for it. It has to do within Q1, we increased the price per sub renewal. And what that does is it creates, and has a modest increase as part of a broader plan that we've done, what it does is it has a little bit of a compelling event that pulls things in. And so on a sequential basis, you see a little bit of movement there. But it's really -- I think on a normalized basis, it's proceeding exactly as we would expect. It just so happens that Q1 price increase, full renewals in particular, created a little bit of that sequential dynamic. But exactly as we would have expected.
Keith Weiss - Morgan Stanley, Research Division: Okay. Is there any impact from the educational pricing change in there in that there's people who had -- I mean, I'm assuming there were some educational subscriptions if I'm not mistaken. Do those start to go away as you move from licensing to grants?
Mark J. Hawkins: I think that's pretty minor. The education side is not a big dynamic in this.
Keith Weiss - Morgan Stanley, Research Division: Got it. And then if I could squeeze one last one...
Mark J. Hawkins: By the way, some education [indiscernible] subscription, by the way.
Carl Bass: Yes, there is a bunch on subscription but...
Mark J. Hawkins: And some that aren't.
Carl Bass: Haven't quantified the exact amounts.
Mark J. Hawkins: Exactly.
Keith Weiss - Morgan Stanley, Research Division: Got it. And then if I could squeeze one last one on operating expenses. I believe this quarter, you were able to squeeze some further efficiencies out of the model versus what was in the guide from the kind of implied OpEx guidance, and OpEx was down sequentially again. From the 3Q guide, it seems like that's not implied in the guidance on a going-forward basis in terms of taking any further expenses out of the equation. How should we think about the flexibility or the leverage you have to pull further expense out of the business on a go-forward basis? Or should we think of this more as the baseline on a going-forward basis and mostly you'll be building up [ph] from here?
Carl Bass: I mean, I would think of this as the baseline, to give you the simplest answer, to add a little bit more nuance to it. We've demonstrated repeatedly that we were forced to take expense out. We certainly have the capability of doing that. Philosophically, we're on that right now. As we're interested in driving the technology change to the cloud and mobile devices and the business model changed. And I'd like to do that within a relatively tight envelope, so I'm not willing to do that at all costs. We've tried to be pretty cautious all through the year. It feels like we've had one foot or half a foot on the break the whole time, but I feel like we're accomplishing the things that we need to accomplish. And I'd hate to break that dynamic. I'd like to continue to move forward. I think the changes we're making and the products we're bringing to market put us in a leading position, and we want to make sure that we can capitalize on that. On the other hand, we don't want expenses to get out of whack.
Operator: Your next question comes from the line of Richard Davis with Canaccord.
Richard H. Davis - Canaccord Genuity, Research Division: I mean you talked about AutoCAD and LT kind of being saturated, where I kind of think as an area where you have a chance to kind of accelerate and grow I think kind of your efforts in simulation. So maybe if you have a second or 2 just to talk about kind of your opportunities and penetration so far, both on the disruptive pricing basis and even some of your cloud efforts on FEA and computational fluid dynamics kind of where that is now where you think it could be over the next quarter or 2, I guess even years.
Carl Bass: Yes. What I see right now is I think there are 2 areas in that realm, Richard, that make sense to see growth in because of the different approach we're taking both from the business model as well as the technology. One is simulation, one is PLM. Talked to you a lot about PLM. Just to give you a little bit of color, getting just a great response to PLM. There are days I wish we were only a PLM company because like in today's environment, we'd be worth billions of dollars for just our efforts in PLM. Our PLM business is doing well, it's being really well received. Most of our challenge in that part of the business is getting enough salespeople, enough consultants in place, having enough people to support our partners with the PLM business because it really is meeting the need of PLM customers and it offers all the attractiveness of what you see in many of the other cloud-based companies, Salesforce and NetSuite or Workday. So we really feel good about that. Simulation, we're having -- we have more of a mixed business there, both a desktop business as well as a cloud-based business. Really happy with the response to the cloud-based business. Desktop business is marching along. We obviously are really bullish about it. You saw the investment that we made in Composite Analysis. We think this is important in terms of material science and where our customers are going for designing their next generation of products. Across the board, I'd say the most successful product we have in simulation right now are our CFD products. I think our FEA is comparable. But there was -- the market for FEA, as you well know, is not the fastest growing part of the market. But our computational fluid dynamics are doing well, and I'm really pleased with people's willingness to adopt a new way of working. One of the things about the cloud is it just makes so much sense for simulation. And the response is good, and I just looked -- just before the call started, I was just looking and even this quarter and there were a bunch of product lines where I was seeing double-digit growth in simulation. So really, really pleased with what we're seeing there.
Operator: Your next question comes from the line of Sterling Auty with JPMorgan.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Can you review for us, at this point, what products are actually on a rental pricing or in a cloud option that are available to customers?
Mark J. Hawkins: So there's a couple that are out there. You have the -- for example, the Inventor LT Suite and rental, you'd have the Revit LT Suite on rental. Those would be a couple examples.
Carl Bass: Yes.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: And you had mentioned, I think on the last call, about looking at media and entertainment as an area to trial that as well. Did that happen?
Mark J. Hawkins: We did do some trials and 90-day offerings and things of that nature. So yes...
Carl Bass: And we're continuing with our rentals there. As regards to our rentals, we're just adding to it. That was one of the ones as opposed to pulling the switch all at once. We've been entering the market on a rolling basis and we're going to continue to do that. We think all of our products should be offered on rental basis, and so I can't say without exception. But in my mind, I don't see any products that won't be offered that way going forward.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: When you look at the model transition, especially from the thing that you're going to put on a cloud platform, how much of that investment in infrastructure is already done and what should we expect to happen in terms of additional investment?
Mark J. Hawkins: A couple of things here. One is that right now, we have been investing in building out a combination of some data centers, which is as one would expect, and that's in place. You can see that our CapEx has not hugely stepped up. It's still kind of in the envelope of around 3% of revenue. The other thing that I would say is that we also have first capacity that we use third parties that can help us with that, and that is also evident in some of the -- when people use that and we need that first capacity. So some of that is happening. There are other infrastructure and what I would say back office things that are underway and that are either -- have been constructed or to be constructed. So Sterling, it's kind of -- some of it's done and some of it's to go.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: And last question, you mentioned AutoCAD LT as an area where the end market is suffering. I apologize if you answered it, but I wasn't clear, what is it in terms of what end markets or what geos are suffering around the AutoCAD LT business?
Carl Bass: I mean, we saw pretty consistently, none of the trends around LTE were particularly good this quarter. And what we've seen in the past is that because this is a product that responds to the demand generation activities, as well as promotional activities, we just need to increase what we're doing there. So the plans are already in place and being carried out. But there's nothing in that part of the business that I really want to celebrate this quarter.
Operator: Your next question comes from the line of Ross MacMillan with Jefferies.
Ross MacMillan - Jefferies LLC, Research Division: Many of mine have been answered, but maybe one for you, Mark. So just going back to the subscription deferred balance, and there's a lot of puts and takes on that in the quarter. You mentioned it's a pull forward in Q1. I think there's also FX impact. Could you just maybe take a step back and describe how, let's say, in the first half, subscription billings grew either relative to plan or if you have absolute numbers on an adjusted basis? That would be really helpful.
Mark J. Hawkins: You're looking at billings or are you looking at revenue?
Ross MacMillan - Jefferies LLC, Research Division: Billings.
Mark J. Hawkins: So I think we talked about for the quarter the dynamics that are going on there. And so when we come down to the maintenance billings, we basically had a decline of about 20% and that would have been on a -- if you look at it from a year-on-year basis. And if you normalize again for the multiyear, keep in mind, Q2 of '13, you can go back and look at it, we drove the price change for the multiyear subscription. And for everybody that doesn't recall, it went -- there was a 3-year price, a 2-year price. We took the discounts for 3-year and 2-year and cut them in half. That created quite a compelling event. And if you normalize that, basically on a maintenance basis, we're basically -- we're in a good mode from that standpoint. That's just one of the attributes that I talked about from a normalization standpoint. So that would be on the maintenance billings.
Ross MacMillan - Jefferies LLC, Research Division: So it's growing? It's growing, adjusting for the multiyear, foreign exchange and the Q1-to-Q2 kind of sequential impact? You would say that in aggregate, the subscription billings are growing year-over-year?
Mark J. Hawkins: In fact, it is. And the thing that I didn't even try to normalize for is don't forget, we talked about in Q4, we changed the price of upgrades. And that had an effect of pulling revenue in. We talked about that, of the $24 million that we strongly advertised and dialogued about. And that also has an impact on sub billings on a year-on-year basis. So actually, not even normalizing for that last point, I think we're just fine if you normalize for what's going on there on a maintenance basis.
Ross MacMillan - Jefferies LLC, Research Division: Yes, that's helpful. I guess I'm just trying to understand if the subscription billings, once you normalize all the items, is -- are tracking to your expectation or if there's anything that's materially different from your expectation. It sounds like it's tracking to your expectation.
Mark J. Hawkins: Yes, I think on the maintenance basis, it really is, if you normalize it, it's pretty clean.
Ross MacMillan - Jefferies LLC, Research Division: Great. And then maybe just on the implied operating expense for the current quarter, fiscal Q3, at least in my math, it would look like it would be up a little bit sequentially. Are there any operating expenses -- I know the increase around the business model change, so marketing spend, ramping or any other one-time spend around some of the changes that are coming?
Carl Bass: So generally, the answer is no. To put a finer point on it, there has -- we've continued over the last year to 2 years, make increasing investments in delivering cloud-based products and moving expenses away from some of the more traditional activities. We've generally kept it out of your eyesight, but that continues to go on to a small degree. And we -- but there was nothing major that's going to change about that.
Operator: Your next question comes from the line of Brent Thill with UBS.
Brent Thill - UBS Investment Bank, Research Division: Carl, last quarter, you mentioned the transition at Adobe went through and that Autodesk wouldn't hit the approach trajectory at the same rate that Adobe did. I guess investors are concerned that maybe even this proposed plan would be a hybrid, which would include a lot of perpetual and subscription, therefore continuing this on choppy top line and bottom line approach. And I'm just curious if you could comment on your thoughts on that and is this a wholesale switch where perpetual goes away or is perpetual part of your model going forward?
Carl Bass: Brent, I think you have to look at 2 different parts. We'll try to give you much more clarity when we get to October. But I think you have to -- I mean, there are really 2 issues that are going on here. One is about flexible licensing, termed offerings, the way we go to market and how we deliver customers, deliver products to customers including web services, and all of that's increasing. The other one is more on the accounting side is really the ratability of that. So I think you see 2 different things going on. And we'll be able to give you a little bit more detail when we outline the plans for what we're doing. And I think [indiscernible] -- I think it will make a lot more sense. In some ways, I think all the comparisons to Adobe are fine. Adobe's a great company, I like the comparisons. But at certain points, when we diverge, we're starting with a point where we have 40% recovering revenue. We have a different product mix. We have a different customer base. And so given where our starting point is and the number of enterprise customers, I think we really have to lay out the different buckets for you and how they move -- how the offerings progress over time, as well as how we will account for those, and therefore, what the impact is to the more traditional metrics like revenue and operating margin, as well as I think it's incumbent upon us to start defining some new metrics that will give you more insight into how our business is going.
Brent Thill - UBS Investment Bank, Research Division: Okay. And the decision to revoke guidance for the year is more based on the new transition rather than any deterioration of your pipeline or ability to forecast?
Carl Bass: Yes. I mean, the business is the business we've described and we described it quarter after quarter. I mean, just hypothetically, if we made a change in which we took a portion of revenue and because of the way we offer it to customers, we had to account for it ratably. If I -- if we would have to describe the revenue impact of that today without the context of what's going on, the tone in this conversation, I'm sure, would be completely different. Does that make sense? I'm not trying to be cryptic, but if we had to go from recognized upfront revenue to ratable revenue, it will have a significant impact on whatever quarter we introduce these policy changes. And if you didn't have a context to interpret it, it would make little sense to you.
Operator: Your next question comes from the line of Steve Koenig with Wedbush Securities.
Steven R. Koenig - Wedbush Securities Inc., Research Division: Maybe one easy one and one a little more enveloped question. The easy one is how did linearity go on your licenses in July compared to the, say, the first 2 months of the quarter?
Mark J. Hawkins: Yes, the linearity was actually just fine. In fact, it was slightly -- our total -- let me just speak to it, Steven, in a broader way. Our billing and revenue linearity was just fine and slightly more linear than it was a year ago, let's put it that way, for both billings and revenue in total.
Steven R. Koenig - Wedbush Securities Inc., Research Division: Yes, okay. Just -- then I want to ask, do you expect the improvement in some of the manufacturing macro steps to help the manufacturing business? And then I do want to -- I want to ask a question as well, if I may, about your comments on the last call. You talked about -- I don't remember the exact words, but the idea was having some tactical revenue drivers in the back half of the year and how that would help you achieve some -- the guidance that was -- looked fairly back end loaded. I understand there's a model transition going on, but I'm wondering, are those sort of tactical revenue drivers still present?
Carl Bass: Yes, I mean, we're doing -- the things that we talked about to drive revenue are still in place. Most of the stuff you'll hear is incremental, it's about new kinds of offerings, it's about adding this flexibility. But all the things that we -- that were in place and that we talked about on the last call are actually -- almost all of them are in motion now. Some of the price promotions, some of the pricing changes, some of the stuff that we did within the sales organization, all of that, all in flight right now.
Mark J. Hawkins: Marketing-led initiatives for demand gen.
Carl Bass: Demand gen, many around some of the products. So yes, the 2 things are kind of independent with each other.
Steven R. Koenig - Wedbush Securities Inc., Research Division: Okay. And then just that other question, the improvement in the manufacturing. Any indicators that you've been seeing in the last few months, can that help you guys or -- I want to find out.
Carl Bass: Look. I always like it when PMI goes up. I always like it when the ABI goes up. I like even more with the GDP goes up. That's what we've seen. We've repeatedly said that good GDP numbers seem to be more correlated to our business than any individual one. But every time one [ph] of the particular industry does better, even though it's only good -- it's only going to be good for us. It's a combination when we do our forecasting. So for example, we try to give some hints last quarter, we saw an improving environment in the construction industry. We wouldn't want to stick our necks out very far about it, but it started to materialize. I'm hopeful that that's going to continue into the second half of the year and next year. I hope the same thing happens in manufacturing. Even this quarter, we did see some really good business in our Manufacturing suites. And the one thing that I also called out is really some really good work, in particular, segments where we focus like automotive. Historically, that hasn't been a strong suit for us, and we continue to do better and better in that industry. And so I'm really pleased with the progress we make in there.
Operator: At this time, we have reached the allotted time for questions. I'd like to turn it back over to management for closing remarks.
David Gennarelli: That concludes our call today. As I mentioned, we have our Investor Day in October 2. If you haven't registered yet, please send me an e-mail or call me at (415) 507-6033. It's going to take place here at our San Francisco office, and we look forward to talking to you then. Thank you.
Operator: Thank you. This concludes today's conference. You may now disconnect.